Operator: Good day and thank you for standing by. Welcome to the Blaize, Inc.'s 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. Now, I'd like to introduce your host for today's program, Lana Adair, Investor Relations.
Lana Adair: Thank you. And good afternoon, everyone. We appreciate you joining for Blaize's first quarter of 2025 earnings call. We are very pleased to be joined today by CEO, Dinakar Munagala, and CFO, Harminder Sehmi. Before we start, we'd like to remind you that the following discussion contains forward-looking statements within federal securities laws. All statements other than statements of historical fact are statements that could be deemed forward-looking, including, but not limited to, statements regarding our competitive position, anticipated industry trends, our business and strategic priorities, and our financial outlook for the second quarter of 2025 and the full fiscal year 2025. These statements are neither promises nor guarantees and undue reliance that should be placed on them. Such forward-looking statements involve risks and uncertainties available in our SEC filings that may cause actual results to differ materially from those discussed here. Additional information that could cause actual results to differ from the forward-looking statements can be found in the risk factors section of Blaize's most recent annual report on Form 10-K for the year ended December 31, 2024 as updated by our periodic reports filed subsequently to that 10-K. Any forward-looking statements on this conference call including responses to your questions are based on management's reasonable current expectations and assumptions as of today, and Blaize assumes no obligation to update or revise them, whether as a result of new information, future events, or otherwise, except as required by law. The following discussion contains references to certain non-GAAP financial measures. The company believes that these non-GAAP financial measures are useful to investors as supplemental operational measures to evaluate the company's financial performance. For a reconciliation of each of these non-GAAP financial measures to the most directly comparable to GAAP metrics, please see our website at ir.blaize.com. Details of our results and additional management commentary are available in our earnings release, which can be found on the Investor Relations section of our website at ir.blaize.com. Finally, this call is being audio webcast on our investor relations website and an audio replay will be available on our website, ir.blaize.com, after the call ends. Now we'd like to turn the call over to Dinakar Munagala, Chief Executive Officer of Blaize.
Dinakar Munagala : Thank you for joining us for our second earnings report as a public company. Since our last update, we're now moving from pilots to real deployment. Our large pipeline includes active late-stage programs with multiple contracts advancing from field validation into final negotiations. We've begun shipping production AI chips and systems into real-world deployments across smart city and different sectors, with momentum fueled by new partnerships in Q1 and Q2, including CBIST in South Korea, Turbo Federal in the US. We've also been developing a new turnkey vertical AI solution stack designed to combine our chip software and validated applications to help accelerate deployment in key sectors. We look forward to announcing this offering soon. We are operating with financial discipline and a clear focus on execution, supported by a balance sheet aligned with our near term and mid-term priorities, with feasibility to fund operations, scale customer programs and support strategic growth through 2026. For those who are new to Blaize, we build AI processors and software that bring real-time influence to the physical world, starting with video and vision and expanding into true multimodal edge intelligence. We do this with a unique combination of energy efficient chips and integrated software built specifically for environments where speed and power and cost really matter. From processing satellite imagery on orbiting platforms to fusing LiDAR and video streams for perimeter security at airports and smart cities to enabling object detection and license plate recognition on roadside cameras and drones, our platform delivers real-time AI inference. For example, today most cameras can see, but they cannot understand. Video systems capture enormous amount of data, but they rely on costly manual operation to make sense of what is happening. This is where Blaize leads. We don't just talk about AI, we deliver real-time deep inference for physical environments, enabling intelligence visually and contextually and reliably. In the first half of 2025, we moved from development to real-world deployment. In Q1, we began shipping production chips and AI accelerator cards into smart city programs. We were selected by CBIST to lead the Chungbuk digital innovation hub in South Korea, delivering edge AI infrastructure for regional smart city deployments. That momentum carried forward, and now in Q2, we're executing across geographies with active engagements in key US infrastructure initiatives, expanding into South America, Asia, and Middle East. At ISC West, the largest physical security event in North America, we showcased AI-powered smart city solutions across critical applications. Examples are perimeter defense, school safety, campus monitoring, and public surveillance. Adding further strength to the applications, our technology is now integrated with OrionVM and VSaaS, delivering hybrid cloud model for smart surveillance, Thrive Logic for school safety solutions and CVEDIA for pre-trained vision AI models. This all demonstrates Blaize's ability to deliver deployable partner validated solutions for smart infrastructure. Our diversified global pipeline includes late-stage engagements across smart infrastructure, public safety, defense, and industrial automation. Field deployments are underway, and several programs are advancing into contract stage from field testing. Our partnership with Turbo Federal has already yielded an opportunity for 2025, focused on delivering trusted AI-powered inference and perimeter security in defense-critical environments, starting with video and expanding into situational awareness. We're finalizing a purchase order for Blaize-powered servers bundled with AI Studio, our orchestration software, bringing integrated compute and intelligence to customer hands. In parallel, our engagement with the Ministry of Defense continues to advance towards proof of concept and field qualification phases. This momentum reflects our efforts to build trusted relationships with high-value customers through targeted engagement, strategic pilots, and solution co-development across the US, Asia, and the Middle East because we are finding faster procurement cycles and government-led AI initiatives. These efforts are driving deeper engagements, strengthening our pipeline, and converting into signed contracts and revenue. This traction informed how we built our next step. Today, if you want smarter cameras or systems, it usually means stitching together parts from different vendors, which takes time, money, and technical help. Customers have made it clear that they don't just want raw components. They need ready-to-deploy solutions tailored to their use case. I'm pleased to share that I will soon be introducing a new pre-integrated vertical AI solution platform like a ready-to-deploy turnkey AI stack in a box, combining our energy efficient chip architecture, integrated software and proven applications from best of breed ecosystem partners. It's designed to streamline deployment and deliver faster results in key sectors like defense, smart infrastructure, and public safety. Think of it like what Apple did with the Macintosh. It wasn't just a computer. It was a complete experience, a comprehensive tool that made advanced technology accessible and usable. With this upcoming vertical AI platform, what used to take three to six months of custom integration could soon be field ready in half the time. And early adopters are seeing up to 60% lower total cost of ownership. As we move into Q3, we anticipate sharing formal proof points and success stories from these deployments. To support the shift towards solutions first approach, we're executing a dual go-to-market strategy. On one side, we worked directly with high value customers, especially in smart infrastructure and defense, where trust, integration, in smart infrastructure and defense where trust, integration, and long cycle deployments matter. These include engagements with defense ministries, smart infrastructure projects in Korea, and national initiatives in India. In each case, Blaize provides the platform intelligence powering critical systems in cities, transportation, defense, and public safety. On the other side, we scale through channel partners, leveraging our turnkey vertical AI platform as the foundation. These are full-stack, vertical-ready offerings built in collaboration with best-of-breed edge AI application partners. For example, Videonetics in smart airports, Visibility in smart retail and defense, alwaysAI in mining, Thrive Logic and CVEDIA in school safety. Each partner brings proven deployable applications. Blaize provides the compute and orchestration to run them in the field. This combined approach gives us the flexibility to serve high touch accounts while accelerating growth across broader commercial markets. Here's where we're heading. We bring together what systems see, the real video and the sensor data at the edge with what they understand, the language models running on the data. This is multimodal intelligence in action, not just vision, not just language, but the fusion of both, video, sensors, speech, and structured data to create context, to make decisions, and act in the physical world where it matters most. Think of it like this. Small, efficient models tuned for real-world tasks, like those small language models you've been reading about. They're faster, lighter, more secure, and they don't need a data center to make sense of what's right in front of them. That's the future we're building towards, and it's already starting to take shape. This combination of edge processing, scalable software, and partner-driven deployment is how we deliver value today. Because what we're building at Blaize isn't just about chips or code. It's about enabling intelligence where the world needs it most, in the field, in motion and in the moments that matter. This quarter reflects that commitment in action. From pilots to deployments, from concept to customer, we are executing with clarity and building momentum across key verticals. Thank you for your continued support. Now I'll turn it over to Harminder for the financial update.
Harminder Sehmi : Thank you, Dinakar. Good afternoon, everyone. In the first quarter of 2025, revenue was just over $1 million, slightly ahead of expectations, and represented shipments of our PCI cards to support smart city customers. The prior year revenue of $549,000 was largely from providing strategic consulting services to an automotive customer. The cost of revenue was $327,000 in this quarter compared to $306,000 last year. Our company consummated a business combination and listing on NASDAQ earlier this year. Like others that have undertaken similar transactions and are listing on a major exchange, we incurred non-recurring cash transaction costs and non-cash accounting adjustments to complete the merger in this quarter. These adjustments are significant in size and can obscure or overshadow the accounting of our underlying operations. I will identify and explain them to you first and later focus on the underlying performance, which provides a better indicator of operations during this year and as we scale the business. In this quarter, our GAAP net loss was $147.6 million after charging $109.6 million in other expenses and $39 million in operating expenses. This is compared to the GAAP net loss of $16.7 million in the prior year. Included in the other expenses of $109.6 million was a charge of $226 million, reflecting the change in the fair value of convertible notes and warrants. This was offset by a $116.5 million credit related to the fair value of the earn-out liability. These two items largely net to the $109.6 million adjustment. In the prior year, other expenses of $8.4 million were primarily related to the change in fair value of the convertible notes and warrants. Both were non-cash adjustments. Our first quarter total operating expense of $39 million included non-recurring transaction costs of $12 million and a non-cash share-based compensation charge of $11 million. The growth in the stock-based compensation charge in the first quarter of this year of $10.7 million was predominantly due to the completion of our merger that triggered certain RSU vesting conditions. The resulting underlying operating expense of $15.9 million in the first quarter was up $7.6 million from the prior year that I will now discuss in more detail now. This increase of $7.6 million related to three primary areas. Higher employee costs as we invested in our go-to-market and customer support capability during the year, investment in software tools and third IP in preparation of our next generation chip, and costs associated with preparing the company to operate in public markets. The underlying research and development costs were $7.1 million in the first quarter, up from $3.9 million in the prior year. This increase of $3.2 million is primarily attributed to software tools, third-party IP, and higher employee costs to remain competitive. Our underlying selling, general, and administrative expenses for this quarter, excluding depreciation and amortization, were $8.3 million, an increase of $4.5 million over the prior-year quarter. This increase was due to several factors -- an expansion of the sales teams globally, higher marketing costs in connection with our listing on NASDAQ, higher support function costs including audit and legal fees, and increased insurance costs. Overall the underlying [indiscernible] foundation to support our future revenue growth prospects. As a result, our adjusted EBITDA loss for the first quarter of 2025 was $15.4 million compared to a loss of $7.5 million in Q1 last year. I anticipate the adjusted EBITDA to improve each quarter as we progress through 2025. Our cash and cash equivalents totaled $45 million as of 31st March this year, down from $50.2 million on December 31, 2024. Upon closing of the business combination, the company received additional equity of $15.3 million and settled $4.5 million of one-time transaction costs. Allowing for annually paid insurance and software licenses of $3 million in the quarter, the underlying cash used for operations, including for inventory, was $13.1 million. Earlier, Dinakar spoke to the scale and momentum within our current revenue pipeline. Shipments of product have commenced in the first quarter, and we expect that revenue should accelerate as we move through the year and into 2026. We plan to add to the growing list of new partnerships forged with selected ecosystem partners already announced. We further expect our revenue pipeline to be enhanced as we deepen collaborations with these partners and they begin to expose their end customer opportunities to us. We continue to undertake pilots and proofs of concept with customers to enable their AI workloads onto Blaize hardware. This is an essential first step in demonstrating the inherent advantages of our programmable architecture. We anticipate a faster path to production as follow-on customers in our selected verticals are quicker to adopt our solutions. Recent market developments around tariffs have prompted many companies to accelerate inventory procurement. While that surge in demand could strain the supply chain for chips and finished products, we maintain close collaboration with our key vendors. Our inventory on hand, plus the projected deliveries from orders already placed, is currently expected to meet the immediate demands for the next two quarters. Together with our partners and end customers, we will continue to monitor signs of any impact to pipeline conversion from the increased macro challenges over the remaining seven months of this fiscal year. We exercised strong discipline on managing our resources and will continue to take steps to reduce our cash burn if the environment remains uncertain. In our larger revenue opportunities, our aim is to secure advanced payment commitments from customers to minimize cash tied up in working capital. I anticipate these measures taken together, plus the cash projected from revenue this year, should enable us to extend our cash runway into the first half of 2026. Our guidance for the next quarter ending 30th June 2025 is as follows. Revenue is projected to be in the range of $1.5 million to $1.7 million. The adjusted EBITDA loss is expected to be between $13 million and $14 million. The stock-based compensation charge is expected to be approximately $10 million, and the weighted average shares outstanding should be approximately 90 million. We are reaffirming our revenue guidance for the full fiscal year ending December 31, 2025 in the $19 million to $50 million range.
Operator: [Operator Instructions]. Gil, your line is open, from D.A. Davidson.
Gil Luria: First question is about some of these new wins and how those are a little bit more on sizing and timing of the winds at CBIST and Turbo Federal in terms of when you expect those to come in and how can you help us quantify the size of those wins please?
Dinakar Munagala: These are strategic engagements for us in our chosen markets. CBIST, for example, specifically around smart cities and Turbo Federal is around defense primarily. So, it's our standard products that they would use into these verticals and combining our hardware as well as software. As Harminder mentioned, we're negotiating contracts. We will start announcing them as we start signing them.
Harminder Sehmi: The only thing I would add is that they range in size from the low millions to tens of millions over a period of time. So, the start point is towards the end of this year for some of them, but they extend our pipeline into 2026.
Gil Luria: To continue on that path, can you remind us what the revenue cycle is? So at what point do you recognize revenue from these different types of customers? Is it only when they turn on the new capabilities? Is it when they receive shipment? And how that relates to both these customers as well as your Gulf Ministry of Defense customer?
Harminder Sehmi: Generally, we sell hardware. We sell solutions with our partners which is a combination of hardware, software and professional services. So each of those have their own revenue recognition. When we're shipping product into the customer, we recognize that revenue straight away. When it is a software license, it depends whether it's a perpetual license. As soon as that license becomes operative, then we recognize the revenue then. If it's an annual license, of course, it's spread over the period. Professional services is recognized as and when we deliver those services.
Gil Luria: The last one from me is a little bit of a longer term one. What's the update on the next generation of chips that you're planning and how has the very rapid development in the quality and efficiency of the AI models impact what capabilities that next generation is going to have?
Dinakar Munagala: First of all, we are very excited that the kind of workloads that we're seeing and the changes that are coming about in the shrinking of AI models are a perfect fit for existing products in the market. In addition to this, of course, this is all proving to be exactly the direction we set out as we define our next generation products. As we launch our next generation products, we will, of course, update them -- provide an update. But all in all, the key aspects of efficient inference at the edge, having complete programmability, and supporting these shrinking multi-model AI, these are the key facets that are the growth drivers. And we're seeing this live in action right now as we engage with customers and also driving our pipeline.
Operator: [Operator Instructions]. Our next question comes from the line of Richard Shannon from Craig-Hallum.
Richard Shannon: My first question is, in the large contract that was announced even before the start of your SPAC closing earlier this year here and you've got a bullet in your press release here about progressing through the proof of concept and field qualification stages, I know in the original announcement around this year hoping to have proof of concepts done by last month in April. So wondering if maybe you can kind of clarify what's going on there? Should we view this as some sort of delay? Because you sound like there's a deepening engagement here. So I'd love to get a little more clarity on what's going on here.
Dinakar Munagala: [indiscernible], of course, we are in constant communication with them. And we have done various proof of concepts. The exact field trial is being discussed as we speak. Everything that you've said in terms of revenue towards the end of the year, that is still good.
Harminder Sehmi: No, I think you've addressed it. So we always signal that revenue from this contract, it's a multi-year contract, it has several use cases, and we're going to start deploying towards the end of this year. Again, it's one of those classic combinations of hardware shipments, it's got software licenses, and some professional services. And we expect that to extend beyond 2026 and into early 2027.
Richard Shannon: I'll touch on the pipeline here. Maybe if there's any way that you can quantify or characterize how that's improved here since the last earnings call and frankly the beginning of the year, that'd be also helpful.
Dinakar Munagala: When we started off beginning of this year, based on all the customer engagement that we have, we signaled the pipeline of $400 million and the guidance. The pipeline is actually growing rapidly in two ways. First of all, once we go ahead and land a particular ISV and deliver to certain use case, that ISV's pipeline also becomes ours. They want to get us into other deals. So we're actually seeing a pipeline amplification factor this way. The other part we're witnessing solid momentum is true multi-modal AI. The merging of computer vision and small language models, the combination of that creates new and interesting use cases and value to end customers. So we're seeing a growth based on that as well.
Harminder Sehmi: One thing I'll add to that is, Richard, all of this pipeline is based on our currently shipping generation of products.
Richard Shannon: Your announcement of this partner, CBIST, in South Korea seems very interesting, and I guess I'd love to understand both the kind of the strategic development cycle leading up to that announcement, and then over what time period should we expect to see some tangible financial results from this? It sounds like, if I caught your comments correctly, towards the end of the year, which I guess certainly would make sense, but I guess I'd love to have you describe how that progressed to this point and where you expect it to go forward?
Dinakar Munagala: We have been engaged with them for almost a year now. So there's been work behind the scenes that went in leading up to this initial announcement, but there are active deployment cycles that we are discussing with them. And as Harminder signaled, it is revenue towards the end of the year. As we begin announcing specific projects, of course, we will set up time with you and go through specific things as well.
Operator: And our next question comes from the line of Kevin Cassidy from Rosenblatt Securities.
Kevin Cassidy: I saw in your press release that you're bringing your adjusted EBITDA loss down to $40 million from $55 million from $70 million to $75 million. But your stock-based compensation is going up. I wonder if you'd discussed that, maybe if you could repeat it just to understand what the moving parts are.
Harminder Sehmi: The $40 million to $55 million range is just reflecting our revenue range, so it depends on which side of the map we're in. So the current EBITDA range that I've guided on just reflects that revenue range. The difference between last time and this time is essentially the external costs of our next generation chip. And whilst all the work is still continuing, we are negotiating payment terms with our key vendors right now. And we expect that some of these costs will be deferred towards the end of 2025 into 2026 onwards. So that's the big change.
Kevin Cassidy: New vertical AI solution platform, that seems very interesting. You've mentioned a few times that you do have software contracts, but would this accelerate maybe shipping everything with Blaize software on it? And would it turn into a recurring revenue stream?
Dinakar Munagala: We actually are quite excited about this. The whole vertical AI stack in a box, what it brings to the end customer is, I would say, three main aspects. The first thing is it's a hardware plus software, everything, including our software as well as partner software for specific use cases, packaged and ready to go, just like a Macintosh. You pull it out of the box and it just works. The second aspect, it helps customers. Especially in the edge enterprise, they're not as AI savvy. So this actually helps them from an IT spend point of view. They don't need heavy IT to deploy AI into their workflows. The third part is continuous change management and improvement. As they want to get new use cases added, it becomes seamless and easy. And to answer your question, yes, this does give us an opportunity to monetize our software [inaudible 0:34:39] revenue as recurring.
Operator: And this does conclude the question-and-answer session of today's program. I'd like to hand the program back to Dinakar Munagala for any further remarks.
Dinakar Munagala: Thank you, everyone. To wrap up, Q1 was about execution, and we made real progress. We've cleared the non-cash one-time accounting items tied to the merger. So what you're seeing now reflects our actual operating performance. We've moved from pilots to live deployments in smart cities, defense, national infrastructure. We were selected by CBIST in South Korea. We're finalizing POs with Turbo Federal, and we're advancing with our anchor customers. Our commercial traction is real. Our solutions are being deployed and our strategy is working. Looking ahead, we'll continue to update on revenue and bookings. You've been part of our journey, and we truly appreciate your support. Thanks again. We're building momentum, and we're just getting started.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.